Operator: Good morning, everyone, and welcome to the Aris Mining First Quarter 2025 Results Call. We will begin with an overview from management followed by a question-and-answer period. [Operator Instructions] As a reminder, all participants are in listen only mode and the conference is being recorded. [Operator Instructions] Please note that the accompanying presentation that management will refer to during today's call can be found in the Events and Presentations section of Aris Mining's website at aris-mining.com. Also, Aris Mining's first quarter 2025 financials have been filed on SEDAR+ and EDGAR and can also be found on their website. I would now like to turn the conference over to Mr. Neil Woodyer, Chief Executive Officer. Please go ahead.
Neil Woodyer: Thank you, operator, and welcome to everybody, and thanks for joining us on our first quarter '25 earnings call. I'm joined by management team, including Richard Thomas; Richard Orazietti; and Oliver Dachsel. But before we go into the results, please note the customary statements on Slide 2 as we will indeed be making forward-looking statements. Starting on Slide 3, I'm pleased to report to you that we had our best quarterly results since the formation of Aris Mining in September 2022. These results are supported by solid operational execution and record gold prices, generating strong cash flow to fund our key growth initiatives. In the first quarter, we reported adjusted net earnings of $27 million, which is $0.16 a share, our highest quarterly EPS. Gold revenue totaled $154 million in Q1, representing an increase of 47% over the same quarter last year. We've delivered -- sorry, our 12-month trading adjusted EBITDA was $201 million. At the end of March, our cash balances stood at $240 million and net debt at $250 million, resulting in a net leverage ratio of 1.2x, providing us flexibility and balance sheet strength as we continue to invest in our organic growth. Turning to our growth initiatives. Last week, I had the opportunity to visit both Segovia and Marmato to assess what was going on and see the progress of the plant expansion and ongoing development at the Lower Mine. And I'm very encouraged to see the strong performance made on the ground as well as our team's operational discipline and focus on efficient execution. But Richard will be talking a little bit more about those projects shortly. But first, I'll pass over to Oliver to talk about the highlights from our first quarter.
Oliver Dachsel: Thank you, Neil. Moving on to Slide 4. During the first quarter, we delivered total gold production of 55,000 ounces across our operations, an increase of 8% from Q1 2024. This accounts for 22% of the midpoint of our full year 2025 production guidance range of 230,000 to 275,000 ounces. This is a solid start to the year as we expect production rates to progressively increase in the second half of the year following commission of the Segovia plant expansion in June. At Segovia, we produced 47,500 ounces of gold during the quarter, supported by an average gold grade of 9.4 grams per tonne and gold recoveries of 96%. We generated a total all-in sustaining cost margin from Segovia of $61 million more than doubling our all-in sustaining cost margin from Q1 2024 of $28.5 million. Owner Mining all-in sustaining cost was $1,482 per ounce, and remains at the lower end of the company's full year 2025 guidance range of $1,450 to $1,600 per ounce. Meanwhile, gold delivered from our contract mining partners or CMPs, generated a 41% all-in sustaining cost sales margin, outperforming the top end of the company's full year 2025 guidance range of 35% to 40%. As shown in the chart on the right, rising realized gold prices and disciplined cost control have expanded all-in sustaining cost margins on a per ounce basis by 105% at Segovia when comparing Q1 2025 to Q1 2024. Segovia's ability to generate cash flow is expected to expand significantly once the mill expansion project is completed and gold production increases. Turning to Slide 5. As Neil mentioned at the beginning of the call, we closed the quarter with a cash balance of $240 million and a low net leverage of 1.2x, demonstrating the strength of our balance sheet. Since the issuance of our $450 million senior unsecured bonds in October last year, we have steadily reduced both total and net leverage ratios. As of March 2025, total leverage was 2.4x and net leverage was 1.2x. I'd also like to take this opportunity to provide an update on our TSX-listed warrants expiring on July 29, 2025. During the quarter and through early May, we've continued to see strong participation in the exercise of these deeply in-the-money warrants. We've received over $19 million in proceeds from warrant exercises so far. If the remaining warrants get exercised, we expect an additional cash inflow of up to $96 million. Following the expiry of the warrants at the end of July, the company will have no convertible securities outstanding other than stock options issued under the stock option plan. With a strong and streamlined capital structure and supported by solid operational performance generating robust cash flow, Aris Mining remains well positioned to responsibly fund our organic growth initiatives. Moving to Slide 6. I'd like to hand over to Richard Thomas to provide an update on our growth projects.
Richard Thomas: Thank you, Oliver. I'd like to start with Segovia, where the processing plant expansion remains on track to increase capacity from 2,000 tonnes a day to 3,000 tonnes per day. Installation of a second ball mill will be completed in May with the commissioning expected in June this year. The new ball mill will increase the throughput capacity and hence, gold production. Following a ramp-up period, we are targeting a production rate of 3,000 tonnes per day. Once we are able to fill the mill at 3,000 tonnes per day, we are expecting an annual gold production in the range of 300,000 ounces per year. As 2025 is a transition year, our gold production guidance to produce between 210,000 and 250,000 ounces and quarter 1 production of 47,549 ounces is a strong start and in line with our internal plans. Going across to Marmato, the construction of the Lower Mine is gaining momentum. In March, we announced a design change, which will increase the processing capacity to 5,000 tonnes per day. During the quarter and in April, the decline development progressed steadily with 323 meters completed of the full 1,700. Earthworks for the main substation platform is complete and the earthworks for the process plant platform continues in progress. In parallel, the site has seen an ongoing delivery and staging of key equipment and materials, including filters, cyclones, some pumps, some mining equipment, supporting the ramp-up construction momentum across several of the project areas. Once completed, Upper and Lower Mine Marmato combined will have the potential to produce over 200,000 ounces of gold per year. As of March 2025, we updated the estimated cost to complete the construction of the Lower Marmato Mine to $290 million, considering the 25% expansion to 5,000 tonnes per day of throughput capacity. And we have a further $82 million in remaining funding to be received from the Wheaton Precious Metals under the precious metal streaming agreement. The net construction capital balance of $208 million is thus fully funded as outlined by Neil and Oliver by way of cash on hand and ongoing cash flow generation from Segovia. I'd like to take this opportunity to encourage you to visit our website to view the latest developments in the Lower Mine construction. A link to the most recent video is available at the bottom of the slide or you can visit us directly at aris-mining.com. Let's move across to Slide 7, and we are pleased to highlight progress on our 2 major technical studies currently underway at Soto Norte and Toroparu in Guyana, starting with Soto Norte project located in the Santander Department of Colombia, where Aris holds a 51% joint venture interest and serves as the project operator. We continue to advance environmental and technical studies and expect to complete a new pre-feasibility study in the third quarter of this year. This is a revised smaller scale underground development plan incorporates several optimizations, including improvements to the processing design, tailings storage, mining methods, ore transport, water usage, all of which contributes to reducing the project's environmental impact. We look forward to providing a comprehensive update once the PFS is complete. If we go over to Toroparu, 100% owned open pit gold copper project located in Guyana, we've commissioned a new preliminary economic assessment to assess updated development options. Completion of the study is also expected in the third quarter of this year. Since updating the mineral resource estimate for Toroparu in March 2023, Aris Mining has also completed important infrastructure optimization studies. With that, I'd like to pass this back to Neil.
Oliver Dachsel: Maybe let me step in here.
Richard Thomas: Did I disappear?
Oliver Dachsel: No, no, I can still hear you. I think Neil has maybe some connectivity issues. So to wrap up and looking at Slide 8 here, we delivered a strong start to the year, and we will remain focused on sustaining this momentum as we work towards more than doubling our gold production to over 500,000 ounces per year. And we are encouraged by the meaningful progress we're seeing across our growth initiatives. At Segovia, the processing plant expansion remains on track with commissioning scheduled for next month. This will support increased production rates in the second half of the year. At Marmato, construction of the Lower Mine continues to advance steadily with ramp-up of production expected in the second half of 2026. And finally, we are progressing 2 major technical studies, the PFS at Soto Norte and the PEA at Toroparu. Once completed, these 2 major studies create strategic flexibility to unlock value. We're looking forward to having the difficult decision of how to prioritize our next growth project. Looking ahead, Aris Mining is well positioned for a strong remainder of 2025 and beyond. Backed by a solid capital base and cash generation, we're confident in our ability to deliver on our growth strategy and unlock meaningful long-term value. With that, we'd like to thank you for your time today, and we look forward to your questions. We'll now turn the call back over to the operator to open the line for questions.
Operator: [Operator Instructions] The first question comes from Carey MacRury with Canaccord Genuity.
Carey MacRury: Maybe first on the Segovia ramp-up, the extra 1,000 tonnes a day. How much of that is expected to come from contract mining partners? And do you have all those agreements in place to ramp that up?
Richard Thomas: Carey, so the way we've planned this out is that at the end of the day, we will have a 60-40 split, 60-40, 60 being the Aris Mining and 40 coming from the contract mining partners. Most of those contracts are in place, and we are signing another 5 contracts in this week. So as we ramp up the year, it will be a slow ramp-up. It's not going to be immediate. By the end of the year, we will be in a position to be close to the 3,000 tonnes per day.
Carey MacRury: Should we assume it's sort of a steady ramp-up through Q3 and Q4?
Richard Thomas: Yes. Yes, steady ramp-up.
Carey MacRury: Okay. Great. And then just on Toroparu on the PEA, can you just talk about what the development options you're looking at there?
Richard Thomas: Well, since we last did the studies, that was a really large open pit with a double-stage plant. So it would be initially an oxide plant and then going to a sulfide plant. So some of the development options we are looking at with -- because when we did the resource, the resource shrank to close to 5 million tonnes. So we need to resize that and make sure that the economics work. We're also looking at innovative ways to treat the oxides without putting up a second plant. So we're thinking maybe there's an opportunity for a heap leach, but that work is underway. We also need to do some clever thinking about transport of concentrate or maybe [indiscernible] and which is easier to transport. And the other options we are considering are power options. So how do we get power to that site that's not going to be ruinously expensive. So there are a number of issues we're looking at.
Carey MacRury: Great. And maybe one last one. I think you pay most of your cash taxes in Q2. Just wondering if there's any guidance on what we should expect for Q2 of this year.
Richard Thomas: Richard Orazietti, I'll leave that one to you.
Richard Orazietti: [indiscernible] you could expect a similar amount. The cash taxes are related to Segovia and as the -- obviously, more income is being generated from Segovia. You can do the math at 35%.
Operator: [Operator Instructions] The next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: So I'll start off with a question on Marmato. The development appears to be picking up the pace. When do you expect the underground mining rates to be scaled up to feed this upsized 5,000 tonne per day mill? -- that also occur like would that align with H2 of '26 or be paced to follow that?
Richard Thomas: There's a steady ramp-up from the second half of 2026 into 2027. So we should be up at the full 5,000 in the second half of '27. But we do have an accelerated ramp-up because we're doing those stope preparations right now through our access on the Igeron ramp. So to get to 4,000 is going to be relatively quick, and then the 5,000 will take a few more months after that.
Don DeMarco: Okay. Good. And then another question on Toroparu. With this decision to advance the PEA, what is your strategic intention or bias for this asset? Would it be build or sell?
Richard Thomas: [Doug], I think you're best placed to answer that one.
Unidentified Company Representative: I think that really depends on the results of the study, Don. We are -- we'll look at all options. I guess the best value for us is likely to consider building it, but let's see what the results tell us and we'll decide then.
Don DeMarco: Okay. Well, I certainly look forward to that. It's a country where there's been a lot of positive activity. And with the pending inflow from warrants, what is your pecking order for capital allocation beyond the ongoing Marmato development?
Unidentified Company Representative: That would also depend on the 2 studies because as you know, we've got also Soto Norte moving forward. So we're going to be in a very strong cash position. We already are. So it just strengthens us. And then it opens up opportunities for how we move either of those...
Don DeMarco: Congrats again on the strong quarter and good luck with Q2.
Operator: I would like to turn the conference back over to Oliver Dachsel for any closing remarks. Oliver Dachsel.
Oliver Dachsel : Yes. Thank you, Megan. Unless there are any further questions, right? We certainly appreciate your interest. Thank you for joining today's call. And yes, please don't hesitate to reach out to me and Lilian if you have any further questions. We're looking forward to discussing our results in more depth over the coming days and weeks.
Operator: This brings a close to today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.